Operator: Good morning, and welcome to the Sotera Health First Quarter 2023 Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Vice President and Treasurer, Jason Peterson. Please go ahead.
Jason Peterson: Good morning, and thank you. Welcome to Sotera Health's first quarter 2023 results call. You can find today's press release and accompanying supplemental slides on the Investors section of our website at soterahealth.com. This webcast is being recorded and a replay will be available in the Investors section of Sotera Health website. On the call with me today are Chairman and Chief Executive Officer, Michael Petras; and Interim Chief Financial Officer, Michael Biehl. During the call, some of our comments may be considered forward-looking statements. The matters addressed in these statements are subject to risks and uncertainties that could cause actual results to differ materially from those projected or implied. Please refer to Sotera Health's SEC filings and the forward-looking statements slide at the beginning of this presentation for a description of these risks and uncertainties. The company assumes no obligation to update any such forward-looking statements. Please note that during the discussion today, the company will present both GAAP and non-GAAP financial measures, including adjusted net income, adjusted EBITDA, adjusted EPS, net debt, adjusted EBITDA margin and net leverage ratio in addition to constant currency comparisons. A reconciliation of GAAP to non-GAAP measures for all relevant periods may be found in the schedules attached to the company's press release and in the supplemental slides of this presentation. The operator will be assisting with the Q&A portion of the call today. Please limit yourself to one question and one follow-up so that we can give everyone an opportunity to ask questions. As always, if you have any questions, post call, please feel free to reach out to me and the Investor Relations team. I will now turn the call over to Sotera Health Chairman and CEO, Michael Petras.
Michael Petras: Good morning, everyone, and thank you for joining Sotera Health's first quarter 2023 earnings call. Consistent with the commentary made during our fourth quarter 2022 earnings call, first quarter 2023 revenues and adjusted EBITDA declined over the prior year, driven by the anticipated timing of Nordion cobalt-60 supply harvest schedules and lower volumes at Nelson Labs and Sterigenics. The lower volumes are typical for the first quarter of the year, although Sterigenics volumes increased over the first quarter of 2022. Michael Biehl will provide more detail on our financial results in a moment, but first, I want to highlight a few items from our first quarter results. Total company revenues declined 6.8% and adjusted EBITDA declined 14.6% compared to the first quarter of 2022. We delivered adjusted EPS of $0.13 for the quarter, which is a $0.09 decrease from the same period last year. Sterigenics, our largest reporting segment, delivered 7% top line growth for the quarter as the business units saw growth across all major modalities in what is typically a lighter quarter for the segment. The Sterigenics team continues to work through inflation headwinds and some customer supply chain challenges. We continue to invest in additional capacity with 6 active expansion projects at Sterigenics and are also making progress on our EO facility enhancements in North America. These industry-leading enhancements underscore our unwavering commitment to ensure best-in-class emission controls for our employees, customers and communities in which we operate. Nordion, our other reporting segment within the sterilization services business experienced an anticipated 75% year-over-year revenue decline due to the timing of cobalt-60 harvest delivery schedules. As we've consistently stated, the timing of Nordion's revenue is tied to the harvest schedules from our cobalt-60 suppliers, which are large utilities. Since we have good visibility into these harvest schedules, we are confident in our 2023 revenue forecast, even though the timing of Nordion's revenue will be especially irregular this year with approximately 75% of the revenue expected to occur in the back half of the year. As many of you know, Nordion sources a portion of its cobalt-60 supply from Russia. Previously, we stated that a total disruption of supply from Russia could potentially result in 0% to 3% impact on total 2023 Sotera Health revenues. With the quarter complete, we now estimate the potential Russian cobalt-60 supply disruption risk to be 0% to 2.5% impact on total Sotera Health revenues. Even more importantly, ensuring uninterrupted supply of cobalt-60 is crucial to the global health care community because cobalt-60 is used to sterilize approximately 30% of the world's single-use medical devices. I am proud of the continued efforts by our Nordion team in this area. This is a great example how we live our mission of safeguarding global health. Nelson Labs, our lab testing and advisory service business experienced lower volumes in the first quarter as revenue declined 2.3% compared to the prior year. The first quarter of the year is typically softer for Nelson Labs, where we also have not seen a full recovery of certain types of testing to pre-pandemic levels. We are encouraged by some recent order in trends and are operationally positioned for return to pre-pandemic volume levels. As communicated during our last earnings call, Sotera Health closed on an issuance of a $500 million Term Loan B during the first quarter. Our net leverage ratio for the first quarter of 2023 was 3.4x. Based on where we are positioned at the first -- after the first quarter, we feel comfortable reaffirming the outlook that we communicated on our last earnings call. As a reminder, our 2023 outlook calls for both revenue and adjusted EBITDA growth in the range of 5% to 9% versus 2022. Michael Biehl will recap the details of our outlook in a few minutes. Although, challenges still exist with inflation, labor and customer supply chains, we are seeing some stabilization in these areas. Our teams remain committed to delivering growth and profitability for our shareholders. I would like to reinforce our mission safeguarding global health, which is at the heart of our work across the company. Our products and services serve broad human health and well-being needs. Whether we are providing critical scientific expertise and regulatory consulting to solve our customers' toughest sterility challenges, preventing infection across a broad range of medical and pharmaceutical products or verifying the accuracy of our product's performance, we help to ensure the safety of health care and we protect the lives of millions around the world. Now Michael Biehl will take us through the financials in more detail.
Michael Biehl: Thank you, Michael. I will begin by covering the first quarter 2023 highlights on a consolidated basis and then provide some details on each of the business segments, along with updates on capital deployment and leverage. I will conclude with some additional comments around our 2023 outlook. On a consolidated total company basis, first quarter revenues declined by 6.8% as compared to the same period last year to $221 million. This equates to a 5.3% decline on a constant currency basis as we experienced a total company foreign currency headwind of 1.5%. We do feel these headwinds are moderating and currently expect foreign currency to become a tailwind during the back half of the year. Adjusted EBITDA declined by 14.6% compared to the first quarter of 2022 to $98 million. Adjusted EBITDA margins were 44.6%, representing a 410 basis point decline from first quarter 2022 levels. The majority of which is explained by the anticipated Nordion cobalt-60 supply harvest schedules. Our operating performance drove adjusted earnings per share of $0.13, a decrease of $0.09 from the first quarter of 2022. The first quarter of 2023 had net income of $3 million or $0.01 per diluted share compared to net income of $31 million or $0.11 per diluted share in first quarter 2022. Our reported interest expense for the quarter was $29 million. Now let's take a closer look at our segment performances. Sterigenics delivered another good quarter with 7% revenue growth to $160 million and over 4% segment income growth of $83 million as compared to the first quarter of last year. On a constant currency basis, Sterigenics grew revenue over 8% compared to the first quarter of last year. Revenue growth drivers for the first quarter include favorable pricing of about 6% and favorable volume mix, 2%, partially offset by unfavorable changes in foreign currency of about 1%. Compared to the first quarter of 2022 segment income margins contracted by 135 basis points to 51.8%, driven by the impacts of typical lighter first quarter volume relative to the remainder of the year and inflation, partially offset by favorable pricing. Nordion's first quarter revenue declined by approximately 75% to $9 million compared to the first quarter of 2022, which, as expected, was driven by the timing of cobalt-60 harvest supply schedules. Nordion's segment income declined to $2 million compared to the same period last year. Nordion's revenue and segment income change versus first quarter 2022 was driven by volume decline and mix of nearly 71% and headwinds associated with changes in foreign currency of over 4%. For Nelson Labs first quarter 2023 revenue declined by 2.3% to $52 million, and segment income declined by over 17% to $14 million compared to the first quarter of 2022. As we previously communicated, the first quarter is typically the lowest quarter of the year for Nelson Labs. On a constant currency basis, Nelson Labs revenue declined approximately 1% compared to the first quarter of last year. Reduced revenue for the first quarter of 2023 was impacted by volume decline and mix of over 5% as well as headwinds associated with changes in foreign currency of 1%. These were partially offset by an approximate 4% benefit from pricing. First quarter 2023 margins for Nelson Labs contracted to 27.1%, or approximately 490 basis point decline versus first quarter of 2022. Decline was driven by the impact of typical lighter first quarter volume relative to the remainder of the year, partially offset by favorable pricing. I want to note that we are maintaining staffing levels at Nelson Labs in anticipation of increased volumes throughout the year. I will now provide highlights on cash generation, capital deployment and net leverage. During the quarter, the company generated approximately $34 million of operating cash flow. As of March 31, 2023, we had $648 million in cash and cash equivalents and over $1 billion of available liquidity. As Michael mentioned earlier, during the first quarter, we closed on a $500 million Term Loan B. Using cash on the balance sheet and a portion of the new term loan proceeds, we paid off the existing $200 million of borrowings under our revolving credit facility. And on May 1, funded into escrow of $408 million related to the Illinois ethylene oxide litigation settlement. Although, this new debt and the funding of the $408 million cash settlement will initially increase our net leverage ratio in the second quarter 2023 to above 4x, we expect net leverage to finish the year within our stated long-term target range of 2 to 4x. The $408 million funded into escrow will be classified as restricted cash on the company's balance sheet in second quarter 2023 until the settlement is consummated and the funds are dispersed to the settling plaintiffs. During the first quarter, the company also closed on an amendment to its first lien credit agreement, which added $76.3 million of a new revolving loan commitments and increased our total available capacity to $423.8 million. On a pro forma basis at the end of the first quarter, after funding $408 million to the settlement escrow, our approximate liquidity is $600 million, putting us in a strong position moving forward. We were also able to increase our letter of credit capacity included in the revolving credit facility by $165 million to a total of $351 million. Our capital expenditures for the first quarter 2023 totaled $45 million. Growth CapEx and facility enhancements drove the increased investment during the quarter. As Michael mentioned, based on where we ended the first quarter and what we see for the remainder of the year, we are comfortable reaffirming the outlook we provided in February 2023. To recap, the full year 2023, we expect total revenues to be in the range of $1.055 billion to $1.090 billion, representing an annual growth rate of 5% to 9%. Adjusted EBITDA to be in the range of $530 million to $550 million, also representing an annual growth rate of 5% to 9%. And effective tax rate on our adjusted net income in the range of 30% to 33%. As I outlined in our fourth quarter earnings call, the increase in the tax rate compared to the prior year is primarily attributable to increased interest expense, coupled with limitations and deductibility of interest expense as a result of 2017 U.S. tax reform. Adjusted EPS is expected to be in the range of $0.78 to $0.86. This represents a decline of 10% to 19%, which is primarily driven by increased interest expense as well as the increased tax rate compared to the full year 2022. Capital expenditures are expected to be in the range of $185 million to $215 million, representing continued elevated investment for growth as we continue to fund capacity expansions at both Sterigenics and Nelson Labs as well as invest in EO facility enhancements in North America and cobalt development projects at Nordion. The other elements of our previously issued outlook remain the same as well. As we look at the cadence of quarterly reporting, I will provide some specifics on each business unit. For Nordion, I will comment briefly on the lumpiness that we continue to expect during the year. Approximately 75% of Nordion's total year revenue and 80% of total year segment income will be realized in the second half of the year. As Michael mentioned previously, the potential impact of the complete loss of cobalt-60 supply from Russia on total Sotera Health 2023 revenues is now 0% to 2.5% as there was no disruption in supply during the first quarter. We expect Sterigenics and Nelson Labs to realize increased volumes and margin expansion throughout the year. I'll now turn the call back over to you, Michael.
Michael Petras: Thank you, Michael. Before transitioning to the Q&A session, I want to touch on the topic of ethylene oxide regulations and litigation. As many of you know, the EPA has released its proposal for the stricter EO regulations. Now that the proposals have been issued, there is a period for industry participants and members of the public to submit comments to be considered by the EPA in finalizing the proposed regulations. Although, the proposals post challenges that would require all industry participants to make changes to their operations, we have invested a lot of time, effort and capital in our EO facilities and are confident in our leadership in this area. As for the Illinois EO settlement, the plaintiff Executive Committee reports that the process remains on track for the participation rates to be presented in May. Pursuant to the terms of the settlement agreement on May 1, Sterigenics funded into escrow the agreed upon settlement amount of $408 million. Subject to the participation by substantially all the eligible claimants, we expect this settlement to be completed in a settled cases to be dismissed in late summer. As I wrap up my comments, I want to reemphasize that Sotera Health remains in a strong position for growth throughout 2023. The first quarter was atypical due to the expected cadence of cobalt-60 supply harvest schedules. Overall, we feel very good about the company's current and future prospects. At this point, operator Joe, I'd like to open the call up for question and answers.
Operator: [Operator Instructions] And our first question here will come from Patrick Donnelly with Citi. Please go ahead.
Elizabeth Speyer: Hi. Good morning. This is Lizzie on for Patrick. So I think on the 4Q call, you mentioned the return to the high 30% margins for Nelson Labs in the back half of the year. It sounded kind of constructive on order trends. Can you talk a little bit more about what you're seeing there? Thanks. And I have one follow-up.
Michael Petras: Good morning, Lizzie, this is Michael. Yes, we expect to see the Nelson Labs margin rates settle in around the levels you just discussed mid- to high 30s and we expect volumes to continue to pick up as the year progresses.
Elizabeth Speyer: Great. Thanks. And then, on Sterigenics, I think you mentioned around 6% pricing for the quarter. Is that kind of how we should think about it for the year as well and just outlook on inflation broadly? Thanks. That’s it for me.
Michael Biehl: Yes. Thank you. We -- as we've stated across the company, we expect 3.5% to 5% price per year. Sterigenics is kind of in the middle of that range. Nelson is on the lower end of that range and Nordion is on the higher end of it range. Over the last several quarters, we've been running a little higher on those ranges because of the inflation offset. I think you'll see it settle in over time into the more typical ranges that we've seen. But the last couple of quarters have been a little higher because of the inflation offsets.
Elizabeth Speyer: Thank you.
Operator: And our next question will come from Mike Polark with Wolfe Research. Please go ahead with your question.
Michael Polark: Hi. Good morning. Thank you for taking the question. Two for me. First on the guidance, appreciate the affirmation of the full year. Any twists and turns in the segments relative to your prior plan? My suspicion is no, but I'm just wondering if say, maybe Nelson is now a little lighter than you had before, Sterigenics is a little better. Anything like that? Or are all three segments individually in year now versus when you first set the outlook?
Michael Petras: Yes, Mike. This is Michael. I would say they're in line with what we gave you back in February when we did the initial outlook. It's pretty consistent.
Michael Polark: Thank you. The follow-up on Illinois, I guess, have you seen the participation rates? Or when specifically do you expect to see those? And will we, the public, see those at some point this month via filing or other forum?
Michael Petras: No. So that -- Mike, those are just being presented now to the claimants, so that's just going out. They'll have a period of time over the next weeks and months, that they'll be reviewing that, we don't even have visibility to that right now. We do have ongoing dialogue with the plaintiff counsel to make sure things are tracking along. As we stated on the call here today, we did fund the escrow, the May 1 escrow of $408 million because we feel comfortable on how things are progressing. But we won't have visibility just until late summer, as I've mentioned in the past as well.
Michael Polark: Okay. Thank you.
Michael Petras: Thank you.
Operator: And our next question will come from Sean Dodge with RBC Capital. Please go ahead with your questions.
Sean Dodge: Yes. Thanks. Good morning. Michael, now the -- the EPA proposal is out, can you update us on how far along you all are in upgrading your scrubbing capabilities, how many facilities are done, how many are left to go? And then, the enhancements you've been making, are those sufficient to meet what the EPA has laid out in these more stringent standards now?
Michael Petras: Yes, we are progressing very well on our improvements. As we’ve stated in the past, there's three primary improvements that we've been putting in place, central discharge, double scrub and permanent total and closure negative pressure 204. We are very comfortable with the investments we've made, the progress we've made. There are some things in the proposal that the whole industry has got to address. There's a public comment period that will take place over the next several weeks and months and we'll provide our comments to that point. There will be some things that we need to modify based on that. It may require some additional capital. I mean, there are some things that are in there that potentially could be unachievable for the entire industry. I don't think, ultimately, that's the intention of the EPA. I think when they get in and understand from the industry, how these facilities operate, they'll make the appropriate adjustments. These are draft proposals. But we feel very, very good about the leadership position of the investments we've made and the direction that we're heading on that.
Sean Dodge: Okay, great. And then, on the guidance, you touched on a little bit, Michael Biehl, in the prepared remarks, but the steep ramp in EBITDA into the kind of the remainder of the year, I guess, is the expectation that it will be driven pretty equally across all of the segments? Or is this mostly dependent on Nelson rebounding and Nordion operating at a more kind of consistent cadence, I guess, is there anything more you can share on kind of the drivers and then the visibility you have at this point into the back half of the year?
Michael Biehl: Yes. This is Michael Biehl. As we indicated, with Nordion being lumpy, and we think 75% of the revenues and 80% of the EBITDA will be in the second half. That continues to be on track with what we had originally said. And so, there's no really change in from what we originally said. And really, with Sterigenics and Nelson, first quarter is typically lighter as we've seen historically, and we think that will continue to ramp up over the remainder of the year sort of on an even basis.
Sean Dodge: Okay, great. Thanks again.
Operator: And our next question will come from Luke Sergott with Barclays. Please go ahead with your questions.
Luke Sergott: Good morning. Thank you. I appreciate that you're talking about the recovery here in Nelson, but -- and you're expecting volumes to come back. But anything you can point to that would give us a little bit more clarity there. Is there anything -- were there push outs in the quarter? Can you talk about any of your backlog -- you're building excess backlog? Anything just to give us some comfort that volumes will actually come back?
Michael Petras: Yes, when we look at our -- some of our order trends in our backlog, particularly in the validation area, we are seeing a little bit more strength than we saw earlier on. So we -- that's some of the prepared remarks around pre-pandemic levels. As you may recall, we've talked about validation, not fully recovering from the pandemic levels. That, in particular, some of the things that we're seeing some optimism around that as it moves forward. So the team continues to execute on it. As I've stated in the past, what I’m most proud of is the turnaround time, competitiveness that we've improved, as well as the customer SAT scores and the Net Promoter Scores that we continue to get strong results. So the team is doing fairly well as we expect the ramp to come. And one of the other things that we've talked about in the past is just the labor situation and we feel pretty well situated on labor as we progress through the year as well.
Luke Sergott: Okay. And then, for a follow-up here. Can you disclose what your recapture rates are for the Atlanta facilities and your other EO sterilization in Sterigenics?
Michael Petras: Please define what you mean by recapture rate?
Luke Sergott: Well, the -- so it's expected that the new rulings are going to be around like 99.5% recapture? Are you guys operating above that?
Michael Petras: Yes. I think what you might be referencing is process emissions. I don't mean to get too technical here, but there's …
Luke Sergott: Yes, yes. No, it's fine.
Michael Petras: Yes, yes. So by the way, I'm not an engineer. So Sean or Sterigenics is probably throwing up or holding his nose [multiple speakers]. But let me just say -- so there's process emissions, there's fusion emissions. So it depends on what you're talking about. I think what you're referencing is probably some of the process submission stuff, and the goal is 99.5%. We are achieving in some of these facilities, particularly in Atlanta, where we put the improvements in. It's been well documented. We are achieving 99.996, I think is what is, or five. So we've got we feel very good about that. The question will become -- this is one of those things, though, there's some monitoring things embedded within the new rules, the proposed rules that I think is going to be a challenge for the industry about the frequency of the motoring and things like that. Some of those are really technical matters. But overall, we are not concerned about our ability to capture the efficiency required in the proposed rules.
Luke Sergott: All right. Great. Thanks.
Operator: And our next question will come from David Windley with Jefferies. Please go ahead with your questions.
David Windley: Hi. Thanks. I wanted to first come back to Nelson, if I could. Last year, Michael, you talked -- you kind of had that first quarter seasonality. But in addition to that, there was a kind of a timing mismatch between inflation that was impacting the labor in the business and your ability to put through price which was coming in later in the year. And then, you had also made a couple of acquisitions that came in at lower margins and were expected to scale those margins over time. And so, I guess those seem to add an additional anomaly to the margins last year. And then, this year, margins are that much lower. So I guess, I'm not hearing -- I'm hearing in the prepared remarks that this was largely as you expected. And I guess if that's the case, I'm not understanding why that was what you expected?
Michael Petras: Yes. So David, I would say the overall geography of the business is the total and going forward was the question I was addressing, we'd like to see more volume in all three of our businesses. Obviously, the Nordion one, we have very good visibility on to that. As far as Nelson Labs, the first quarter is always the lowest or has traditionally been the lowest, I shouldn't say always. It's traditionally been the lowest. And our labor leverage isn't as strong there because of the fact that we've got labor built in and we don't have the flexibility to drop labor in and out. So overall, we feel good about where they're going to continue to get price to offset inflation. And I'd tell you the challenge when you look at it for the quarter on the margin rates that you're looking at relative to last year or previous quarters would be on the volume side and also the productivity.
David Windley: Okay. Okay. That's helpful. Thank you. On the EPA for my follow-up, one of the things that stood out to us, you mentioned the monitoring frequency as one. I appreciate the specificity there. One of the things that stood out to us was maybe the 18 months to come into compliance is you have a jump start at Sotera in the investments that you've been making. I guess, one, would be interested in your reaction to that 18-month timeframe, is that pretty aggressive? And/or is it something that because you've started ahead of the game that you could comply with in that timeframe, but maybe the industry couldn't? Thanks.
Michael Petras: Yes. Very good question, David. I think the 18-month time period is aggressive for everybody, including us, but I do think we are way ahead of this game, okay? If we had to, I think we could be pretty well situated to meet that timeline. That doesn't mean us and others in the industry won't take note of that in the proposal and our public comments, that is a very aggressive timeline. When you think about the amount of equipment and construction and ventilation, particularly the fact that if I recall some of our previous conversations, one of the things that we said is important that we took a leadership position and is on negative pressure permanent total and closure 204. The amount of work that's required to accomplish that with ductwork and everything else, just the supply chains to be able to keep up with the requirements for an entire industry, when you have 100 facilities across the U.S. is going to be very challenging for many. We feel really good about where we are at in the advancement we've made in that area. Those are the kind of things that David that I'm referencing, I think they're going to have to be sensitive to what industry can actually accomplish. I think there's already a comment in the document that said there could be extensions up to a year on top of that. But in conclusion, we feel good about where we are sitting on this because we are pretty far along in this.
David Windley: Got it. Okay. Appreciate the perspective. Thank you very much.
Operator: Our next question will come from Casey Woodring with J.P. Morgan. Please go ahead with your question.
Casey Woodring: Hi. Thanks for taking my questions. Just a follow-up on the EPA proposed regulations. So you talked about the comment period that you're taking part in. Can you elaborate just on the range of outcomes there? If the proposal goes through as is, how much capital would you need to commit to make those further necessary enhancements?
Michael Petras: Yes. Casey, we are still working our way through it. We are in early stages of assessing the extent of the proposals and the required modifications and capital. I don't think it's going to be a huge number, but I don't want to throw a number out there until we get further in this assessment and also understand where the EPA is. This is a draft proposal that I think is going to be very -- there's going to be a lot of comments on that, not only from us, but I think people across the industry would be at suspicion.
Casey Woodring: Got it. So MedTech performance has generally been better-than-expected so far this year. So wondering if you guys have any upside to the Sterigenics guide or if your contracts there are more or less locked in at this point? Would you see any sort of benefit from that recent outside growth -- outsized growth from your customers?
Michael Petras: No, at this point in time, we are pretty confident in our guide that we've given in the 5% to 9% across the whole company. We haven't given specific guidance around particular business unit, but we do expect Sterigenics to see increased levels as the year progresses.
Casey Woodring: Got it. And if I could just fit one more in. What are your new FX assumptions embedded in the current guide? And how have those changed from the beginning of the year? I think currency was expected to be neutral on the year and the prior guide. So what's your constant currency guidance look like now?
Michael Biehl: This is Michael Biehl. It's really pretty much the same as what we -- when we originally guided in terms of the assumptions that are in there. And we really haven't seen any big changes to cause us to pause on it.
Casey Woodring: Thank you.
Operator: And our next question will come from Matthew Mishan with KeyBanc. Please go ahead with your question.
Matthew Mishan: Okay, great. Hey, Michael.
Michael Petras: Good morning.
Matthew Mishan: I will ask the upside so like MedTech volumes, a question maybe in a little bit of a different way. Is there -- I'm assuming that your customers would probably like more volume going through those facilities as you go through the rest of the year because I think some of their numbers are coming in as our expectations. Anything that would prevent you from being able to add a little more capacity in the system and kind of to meet some volumes from the customers, especially if they're asking you to do so?
Michael Petras: No, Matthew. When we look at it, we are tracking kind of the end demand within health care, and the volumes have been pretty strong. We don't see that strength one-to-one correlation translating back to us in the volumes. That could be caused by inventory that may be in the system or things on supply chain that may be a challenge. But if the demand were to suddenly start to mirror on a one-to-one basis, I feel pretty good about our ability to react to that. We've been spending a lot of time as we've talked in the past around operational excellence and the things we've been doing in our facilities to try to continue to get more capacity in place, not only brick-and-mortar or additional chambers or whatever it may be, but also just how do we drive more efficiency within our operations. And Mike and the team continue to progress in that area as well. So I think we'd be able to react to any opportunities if they came to us.
Matthew Mishan: Okay. And then, it looks like you're having continued negotiations with one of your EO plants in Ontario, California. Can you just quantify, like to some extent, like what percentage of Sterigenics that facility is? And if this were to drag on for a little bit longer, what would be like the worst case for that in the upcoming quarter?
Michael Petras: Yes. Matt, just to clarify, we really don't have an ongoing negotiation with them. They -- they've asked us -- we have an agreement with them to put the facility enhancements in place that we are coming to all our U.S. facilities. And we have a timeline across both L.A. and Ontario with them. And what they've asked us is in the interim period to try to figure out how to capture even reduce levels of emissions in that interim period. And that's what you see. So occasionally, you might have a blip or something exceeds that lower level until the new improvements are completely in. That's what you see going right now. Listen, this is important for our customers, it's important for us. But we have 50 facilities plus around the world. This is a relatively small portion of our Sterigenics business. I mean, the mix in that facility isn't on the higher end of our mixed products. I won't get into more particulars than that, but I would just tell you, this is not our largest plant, most profitable plant by any stretch, okay? But that doesn't mean it's not important to our customers. It doesn't mean it's not important to us, and we hope to have that up and running here shortly.
Matthew Mishan: Thank you for the color on that.
Michael Petras: Yep. Thanks.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to Michael Petras for any closing remarks.
Michael Petras: Great. Thank you, Joe. Thank you, everybody, for participating this morning. As you can see, the quarter pretty much came in as what we thought, a little softer in a couple of areas. But overall, the big driver here was the Nordion, which -- Nordion volumes, which we well expected and see that back-end loaded throughout the year. So, overall, we feel really good about where the company is situated. We thank you for your ongoing support, and wish everybody a good day. Thank you. Bye-bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.